Operator: Hello, and welcome to the alstria H1 2025 Results Conference Call. [Operator Instructions] Please note, this call is being recorded. Today, I am pleased to present Olivier Elamine, CEO. Please begin your meeting.
Olivier Elamine: Thank you very much, and welcome from cloudy Hamburg this afternoon for the first conference call for alstria as a private company. So for the last 20 years, we were holding up those call as a public company, and this is the first time we're moving to the private company format. We have kept the call public, as you can see in here. We have changed a bit the format to focus more on the credit side, but it's probably our first tentative to do that. So it's likely that we're going to be able to improve going forward. So if you have feedback on the way we're presenting things, we're also happy to take it on board and discuss it further down the line. I'm moving forward to the presentation. I've passed on the duty to update any forward-looking statements. As you know, alstria is not 100% private company. We have finalized -- or Brookfield has finalized the squeeze-out. And so we are now alstria not traded anymore. The only public instrument, which is outstanding are the bonds, which we intend to keep and we intend to keep on, therefore, doing those calls and this communication. We have amended the article of association of the company. So the company is not a REIT anymore, as you know, and the new name of the company is alstria office AG and the intention is then going to be to migrate the holding company to Luxembourg through the reorganization and convert the company into Luxembourg S.à.r.l., which we'll change the name once again into alstria s.à.r.l. We are also in the process, as you know, of spinning off our operating activity into alstria advisors GmbH, which would remain headquartered in Hamburg. Alstria advisors will host all the workforce, which is currently in alstria, and we'll be advising the holding company, which will hold the assets. This process is ongoing and should take place in the course of the summer. And this would result from an accounting perspective and through the deconsolidation of alstria advisors and we'd be accounting it as equity, and I'll come back to that in a minute. All of those reorganization have no impact on the long-term strategy of the company, which remain unchanged. Our aim is to acquire and manage elderly properties, properties that are in deep need of CapEx and through our ownership transition them into the next life cycle. And we think that there's a tremendous opportunity to be doing that in the German market, and we're looking forward to doing that furthermore once the whole reorganization steps are over. Moving now to the most interesting part of the call, which is related to the business. If we look at the half year and how things have developed, the good news here is mainly that the leasing activities has been very, very strong in the first half of 2025. It continued to be strong as we speak. We just announced recently the signature of long-term lease in essence with one of our tenants [indiscernible] on 18,000 square meters so that show the dynamic of the letting market. And we're also seeing a bit more activity on the transaction market. We have sold in the first 6 months, 2 assets. We have signed recently an SPA for a smaller asset in Berlin. And we are seeing more activities and more green shoots in the marketplace mainly through private funds, family offices and owner-occupier. But we do expect that the market is going to slowly revert back to normal with our expectation is situation should normalize within the next 2 to 3 years. In that context, our revenue have remained pretty much stable at EUR 87.4 million (sic) [ EUR 97.4 million ]. The slight decline that we had this quarter is mainly linked to seasonal effects. It shouldn't impact our year-end results. We are confirming our guidance here. Our FFO is down mainly as a result and as expected from the increase in financial costs, which is impacting the FFO. The EPRA NTA is up by EUR 0.04, and our net LTV has improved slightly, which also reflects the path that the company is moving forward with one of our main goal from balance sheet perspective would be to reduce the leverage as we move forward. If we look at the portfolio, there hasn't been any material change since last time we spoke with the value per square meter at around EUR 3,000. The weighted average lease length, which is pretty much stable despite the fact that we are a bit older. The WAULT of the company remain around 5.5 years. Contractual rent at EUR 201 million and the EPRA vacancy rate stable at 8.5%. The leasing market, as we discussed briefly, is really the very positive things which are happening right now in the market. The major change that took place in 2025 was that large corporates are back in the market. And so although in 2023, 2024, we barely signed any leases, which was bigger than 2,500 square meter. We have signed a substantial number of large leases this year, which explains why the volume within alstria's number are substantially higher than what they were the year before. And so we're going back from what we can see right now to a full normalization compared to we were prior to COVID. I would expect that overall letting volume in the market are going to increase as well because we're obviously not the only one benefiting from that. But we clearly took advantage of the large corporate coming back in the market and almost doubled the amount of space that we leased in the half year to 116,000 square meter and securing around EUR 110 million of income for the future, which is, as I said, almost double the result last year. And the second half of the year is starting also very, very strongly, and we're seeing this dynamic continuing in the market. So that's really a very positive impact. Those numbers obviously do not reflect yet in our gross rental income. There is usually like a 6 to 8 months period of time between the moment where we sign a lease and the moment where the rental income show up on our P&L. We have a slight decline in the gross rental income. But as I said before, this is mainly seasonal, we expect to recover that by year- end. The funds from operations, we discussed that briefly. The change in the funds from operations is mainly linked to the increase in interest cost and our SG&A, which is something we tend to be very careful about, still under control and are slightly down compared to where they were in the same period last year. If we move to the balance sheet with a net LTV at 54.5%, slightly down, 30 basis points down compared to where we were at year- end. Investment property is slightly up, reflecting both the impact of the CapEx and the disposal that we have made. The equity on the balance sheet is up as well, reflecting the net profit for the period and our net financial debt is slightly up, simply reflecting the fact that we have a bit less cash on the balance sheet that we had at the beginning of the year, mainly reflecting the CapEx and the increase in investment properties. If we deep dive a bit more into the debt, our cost of debt is up at 3% compared to 2.8% at year-end, which is impacting the FFO. The net financial debt we've discussed briefly. We currently have around EUR 1 billion of debt in the unsecured market and EUR 1.5 billion of debt in the secured market. The intent is to keep playing in both markets. And eventually, once the deleveraging has happened at the balance sheet side, probably reduce the amount of bank debt closer to EUR 1 billion as well and have a balance between bond and mortgage loans, and that's something we will be working on over the next few years. The EUR 107 million of mortgage debt that you can see in 2025 has been repaid as we speak. We repaid that debt in July and the EUR 85 million, which is left is the last part of the bond for which we've put the cash aside when we refinanced with the bond in March. Our intention would be to refinance the '26 and '27 bond, most probably through the issuance of a new instrument either at the end of this year or early next year. A new slide, we're adding back, focusing more on the credit side of the balance sheet. Looking at the amount of unencumbered assets that we have, which is pretty much stable at EUR 1.7 billion. The consolidated EBITDA is slightly down, which essentially reflects the change in accounting policy rather than any operating impacts. And our coverage ratio is obviously also going down. We need to be at 1.8x. It's reflecting the increase in interest rate and financing costs, and that will be under pressure as we go. The intention, and we're managing that essentially through derivative to stay closer to the 1.9x and stay ahead of the covenant. Our debt plus debt to equity on a stand-alone basis is at 60.9% and the net LTV we've discussed before at 54.5%. If we move on now into what happened on the balance sheet since the beginning of the year. We have basically, as you know, issued a new bond at the beginning of the year together with a couple of mortgage loans. We have used those new financing to refinance. Our policy is essentially to use all new debt to refinance existing debt and hedge, but not to increase the leverage. We are trying to reduce leverage as we move back. So we have been doing liability management and buying back the part of the 2025, 2026 and 2027 bond and the intention is going to be to do that again going forward. We had at the 30th of June around EUR 389 million of cash available, which is EUR 144 million of cash unrestricted on the balance sheet, EUR 200 million of undrawn RCF and EUR 45 million of new mortgage loan that we have drawn down in the meantime. And so if we look at today's pro forma from the EUR 107 million mortgage repayment, we would have around EUR 282 million of cash available either through -- on the balance sheet or through the RCF. The -- I just wanted to spend a bit of time on the debt plus debt equity ratio, which is at 64.8% at the S&P definition because if you remember, we had an equity commitment letter from Brookfield on which we could draw down if the debt in relation to debt plus equity as defined by S&P in the September report last year would be higher than 65%. This condition is not met, and therefore, the equity commitment letter cannot be drawn down and will be terminated. In the meantime, as you probably know as well, our shareholder have refinanced its liabilities and injected around EUR 500 million of new equity. So where we had around EUR 800 million of debt before, we now have EUR 500 million of equity and EUR 300 million of new bonds, which was issued a few weeks ago. So within the overall structure of alstria, there was a substantial increase in the overall equity by almost EUR 0.5 billion, which obviously, from my perspective, at least materially strengthen the overall capital structure and give us a good base to work out the deleveraging process and move gradually back to our investment grade, which remains the aim of the company. As a reminder, from an alstria perspective, from my seat, the debt at the Holdco level remain equity. There is still no domination agreement, no cross financing, no commitment whatsoever from alstria to pay any dividend going forward to fund for those EUR 300 million. So those elements, which we've discussed in the past are still relevant today and are still -- haven't changed. The fact that we're now 100% private have not changed that situation. From an outlook perspective, we are confirming our guidance of EUR 192 million of revenues and an FFO of EUR 52 million. The investment market, as we discussed briefly, we're seeing a sign of activities. I'm very confident that we're going to be hitting our target in terms of sales for 2025. When I looked at what we sold already and what we have in the pipeline, that seems pretty much in reach. The leasing market is really the bright spot here where we are seeing still a lot of activity in the smaller lease market, but dynamic to remain. I think the -- we're basically turning a page on the COVID period with the large corporate coming back into the market. And that would conclude the presentation from my end. If there is any questions, I'll be happy to take them. Operator?
Operator: [Operator Instructions] And we do have our first question coming from the line of Florent Egonneau with Citigroup.
Florent Egonneau: I have 3 questions for you, please. The first one will be regarding the spin-off of alstria advisors and its deconsolidation from the perimeter. Can you give a bit more color on the pro forma effect of that deconsolidation? How much revenue, EBITDA and/or debt attached to this perimeter? The second question will be more on the leasing activity. So I understand the gross figure has improved a lot quarter-over-quarter and year-over-year. But when I look at actually the net number, it's still marginally negative. And I see from the annual report that you had about 20% of lease due for renewal next year. So I just wanted to get a bit of color on how those renewals are going and sort of update on any large contract at risk next year? And finally, more around the refinancing part. You have EUR 430 million of debt maturing over the next 12 months, mostly bonds, a bit of loans and through [indiscernible]. Some loans have been taken out early July, but can you give us a bit of color on how you expect to tackle the rest of those maturities?
Olivier Elamine: Yes. So on the deconsolidation of alstria advisors, I mean, this would have a very minor effect. It's basically -- I mean, it doesn't contribute anything in terms of revenue. It's essentially a cost. And the way it's going to be run in the future of the advisory agreement is a cost-plus basis. So it will have a fairly limited impact. There is no impact on debt. There's no transfer of debt and a very limited impact on cash. We will probably leave up somewhere around EUR 5 million of cash within the alstria -- the group that's going to be deconsolidated. So it will not have a material impact from a number perspective. What it will change is that in alstria's P&L, you will not have any more personnel cost. You will just have one line, which is like the fee, which we pay to alstria advisors. And again, this is a cost plus. So we don't have like -- there is no promote or any structure, which is along those line. And most of that income is going to accrue back to alstria, which keep 80% of the economic benefit in alstria advisors. So I would say it's fairly limited. On your second question with respect to the leasing, I'm not sure I -- and maybe I can follow up with a question on my end. But essentially, as I mentioned during the call, the impact of the leasing we're signing this year is only going to be seen in the next few months because the leases we sign now are only going to start somewhere between 8 to 12 months down the road. So there's a time lag between the moment where we sign leases and the moment where they actually end up hitting our P&L. The 20% lease that are due in the next year, I think there's nothing unusual about that. If you look at our weighted average lease terms, we have 5-year average lease terms. So every year, we around about have 20% of our lease that expire. And every year around 2/3 of those are going to be renewed and 1/3 is going to expire, and that's going to be replenished through our leasing process. So there is really nothing unusual about that. I think the number for the lease that expire next year are substantially down because we are working right now on the leases that will expire within the next 2 years. So on top of my head, we're probably around like 11% or 12% left for next year and almost nothing in 2025 with no major lease expiry due or something material. The largest expiry we have is in 2027 in Hamburg, an asset which is rented to the city of Hamburg, which we want to have empty because it offer a substantial opportunity to redevelop in [indiscernible], where we have around EUR 5.5 million of income, which we will lose when this asset is going to be empty mid of 2027. So on top of my head, that would be the largest exposure that we have, like single exposure that will end in the next 2 years. And so I don't know if I answered your question on the leasing here. I'm just going to pause for a second.
Florent Egonneau: Yes. It was very clear.
Olivier Elamine: Okay. And on the refinancing, we did repay already EUR 107 million earlier than was planned. We're currently working on an equivalent mortgage on the same portfolio to refinance it. So that's going to help us to replenish our cash coffers for the refinancing of the bond, the '26 and '27. From today's perspective, the intention would be to go back to the market either in the Q4 -- Q3 -- I mean, end of Q3 or Q4 this year or early next year as we did the year before to be able to take up the '26 and '27 maturity through a single bond, and we're refinancing the mortgage loan. Usually, we just roll them over with the existing lenders, which is like a standard practice. So on the public debt, the intention again, from today's perspective, would be to go back to the market within the next 6 months to refinance those. The point I think I wanted to make here is, technically, we could refinance everything we have in the mortgage market. There would be enough debt in the mortgage market, but the intention would be, at the end of the day, to continue to grow the company. And if we want to grow the company, there will be a limit of what we can achieve in the mortgage market. So for us, it's important to keep access to the bond market because without it, we will reach a limit in the size that the company can reach and the intention would be to grow that. And that's why one of our key targets from a financial perspective would be to reduce leverage as we go forward and claw back towards the investment grade so we can kind of become more efficient in the bond market. So the bond market today is substantially more expensive than what we achieve in the mortgage market. To give you an order of magnitude, the EUR 45 million loan that we just drawn down on, which is a 7-year loan, has an all-in cost of around 3.2%. So it's substantially cheaper than whatever we can achieve in the bond market. Nevertheless, I think the liquidity and the depth of the bond market is really what's attractive at the end of the day.
Florent Egonneau: Okay. Maybe one last question, if I may, is around your disposal target for 2024. Can you remind me the total target and how much has been signed already?
Olivier Elamine: Yes. So we -- our plan is to sell around EUR 80 million this year. And so far, we have sold and closed around EUR 70 million, and we have another EUR 8 million or EUR 9 million, which is signed but not closed yet. But we are working on substantially more than the EUR 80 million if we were to close everything we have, which is why I'm pretty comfortable that this should be achievable. And we're really seeing -- I think the benefit of alstria is we have small assets, which are the more liquid assets right now in the marketplace. And so we are able to play in any investment market as long as there is a bit of liquidity and take advantage of it, which we're currently doing on the smaller side of the asset. And most of the buyer we're speaking to are family offices, private individuals or owner-occupier essentially. We haven't seen yet at scale, at least, the large institutional investors back in the market, and I don't expect that to happen before '26, '27.
Operator: And your next question comes from the line of Mary Pollock with CreditSights.
Mary Pollock: I wanted to talk about the change in your presentation of LTV. It looks like you've brought your definition in line with your covenant definition, which is lower than what you were reporting previously. So I guess my first question is, you said in the past, you want to be close to or below 50% LTV. Is that based on the reporting today in line with the covenant or the previous reporting? And also on your -- sorry.
Olivier Elamine: No, go ahead, please.
Mary Pollock: On the 54.5% level for 1H, I'm struggling to get there. So I was just wondering, is that pro forma for anything? And I'll obviously check my numbers again. I'm sorry if I'm just -- can't seem to imitate how you're getting to 54.5%. I just wanted to check if there's any pro formas in there.
Olivier Elamine: I don't think there's any pro forma in there. My understanding is that we are basically taking the net debt in relation to the total balance sheet, but I haven't double checked the number. So there's no pro forma in there. And when I say we're trying to get to 50% LTV, I mean, we're not aiming at a specific number. We're trying to provide you a sense of direction. We did actually adjust, as you rightly said, we had 2 LTV, which were published. One was more what was relevant from an equity perspective or the way equity investors were looking at it, which basically looked at the debt in relation only to the real estate asset. And then we had another definition of LTV, which is the one which is available in our bonds definitions, and this is why we're applying today. So you're right, we did kind of simplify the communication by just keeping 1 LTV. Again, we're working on this presentation for the last -- for the first time. The feedback we get is it's helpful to have both, then we can put both again. But the aim here is really to reduce the LTV globally and to go back to a level which is going to be more consistent with where investment grade is going to be.
Mary Pollock: And on your ICR...
Olivier Elamine: Sorry, if I may, there is on our website, a document which is called additional information. And this additional information document is going to give you the way -- like the detailed calculation of the LTV.
Mary Pollock: I'll have a look for that. And on your ICR, I think you mentioned this in your remarks, you expect this ratio to trough around 1.9x. I was wondering when you expect it to reach that level?
Olivier Elamine: I think somewhere in the course of next year. So our cost of debt is going up. I mean the way it's calculated right now is just looking at the trailing 12 months. And so as we move forward, we're still benefiting right now from the low cost of debt we had at the beginning of the year. But as we move forward, it's just going to almost naturally drop. And so I would expect it in the course of next year to be closer to 1.9x.
Mary Pollock: I thought that it might get close to 1.8x, to be honest, but I obviously don't have a full picture of your derivatives in place or any other hedging that may...
Olivier Elamine: So we are managing that very closely with the derivatives to make sure we are still north of 1.8x because this is where we need to be. And we are kind of updating our positions to make -- because it obviously depends on where Euribor is and the part of our loans which are floating -- small part or floating below caps have an impact on what we do. So this is something we're adjusting on a constant basis. But the intention is to be closer to 1.9x.
Mary Pollock: And last one, I'm sorry if you provided this on a previous call and I've missed it, but do you have some CapEx guidance for 2025, 2026 or investment guidance for how much you expect to spend?
Olivier Elamine: Yes. So we usually guide the market to the fact that we invest around EUR 150 million per annum on our CapEx like every year. And however, it's highly dependent on our ability to sell assets because we fund the CapEx through asset sales. So if we sell less assets, the variable of adjustment is going to be CapEx from a cash perspective. So there is -- so our business plan currently kind of plan for around EUR 150 million investment in the course of this year, I think EUR 110 million next year, and it go up to EUR 150 million over the next few years. But let's assume like EUR 80 million of sales this year and then sales volumes that go up to EUR 200 million, which we reach in 2028. If for whatever reason the market on the investment side doesn't open up as fast as or as slow as we expect it to open, then we would readjust with the CapEx.
Mary Pollock: And sir, what was the number you said you're budgeting for this year? You said EUR 110 million next year.
Olivier Elamine: So EUR 140 million, EUR 150 million this year.
Operator: [Operator Instructions] And I'm showing no further questions at this time. I would like to turn it back to Olivier Elamine for closing remarks.
Olivier Elamine: Well, thank you very much for joining us today. Thank you for your interest in alstria. We are available if you have any follow-up questions or if you have comments on the way we're presenting things here from a credit perspective. We're always keen to learn and adjust. But thank you very much for your attention, and I'm looking forward to speaking with you for the third quarter presentation. Thank you. Bye-bye.
Operator: Thank you. And this now concludes your presentation. Thank you all for attending. You may now disconnect.